Operator: [Foreign Language] Good morning, ladies and gentlemen. Welcome to the Transat conference call. Note that this call is being recorded. I would now like to turn the meeting over to Andrean Gagne, Senior Director, Communications, Public Affairs and Corporate Responsibility. Please go ahead.
Andrean Gagne: Thank you, Cindy.  [Foreign Language] Hello, everyone, and thank you for joining us for our third quarter earnings call ended July 31, 2024. I'm here this morning with Annick Gu�rard, President and CEO; and Jean-Fran�ois Pruneau, our Chief Financial Officer. Annick will provide an overview of the quarter and comment on the current operational situation and commercial plans for the future. Jean-Fran�ois will then discuss our financial results in more detail. We will then take questions from financial analysts. Questions from journalists will be taken offline after the call. The conference call will be conducted in English, but questions may be asked in French or English. As usual, our supplementary disclosure has been updated and is available on our website in the Investors section. Jean-Fran�ois may refer to it when he presents the results. Our comments and discussions today may include forward-looking information regarding Transat's outlook, objectives and strategy that are based on assumptions and subject to risks and uncertainties. Forward-looking statements represent Transat's expectations as at September 12, 2024, and are therefore subject to change after that date. Our actual results may differ materially from any stated expectation. Please refer to our forward-looking statement in Transat's third quarter news release available on transat.com and on SEDAR+. With that, I would like to turn the call over to Annick for opening remarks.
Annick Guérard: Good morning, everyone. Thank you for joining us for our fiscal 2024 third quarter conference call. As you will see in our remarks today, Transat's quarterly results reflect a challenging market environment, mainly characterized by oversupply, which continues to put strong pressure on earnings. Jean-Fran�ois will cover financial metrics following my remarks. If we look at operating metrics, Transat reported customer traffic growth of nearly 3% in the third quarter and 10% for the first 9 months of the year, reflecting a solid demand for leisure travel. Our load factor was 86.2%, down slightly from last year. Consumers remain willing to travel, but given the continuing economic uncertainty, we note they are more price conscious and look for discounts before booking. The industry also added significant capacity year-over-year, which intensified competition and put downward pressure on prices as it seeks to fill available seats. As a result, and taking into account the inefficiencies from the Pratt & Whitney engine problem, which impact not only our costs but also our ability to maximize revenue, our yield decreased by 9.7% compared to the same quarter last year. Looking at our fleet, 5 aircraft were grounded in the third quarter due to the Pratt & Whitney engine problem compared to 3 in the first half of the year. We now currently have 6 aircraft grounded and expect this number to remain stable throughout fiscal 2025, an improvement from our previous estimate of 8. This projection of grounded aircraft, less negative than previous ones, will enable us to better consolidate our operations for 2025. During the quarter, we took delivery of 7 additional aircraft, including 4 A321LRs to support network and frequency expansion and 3 A330s on permanent lease to mitigate the impact of grounded aircraft. Unfortunately, we are not able to fully utilize our renewed fleet. However, once all A321LRs are operational, we expect significant efficiency gains and improved flexibility, fleet management and utilization. During the quarter, we launched the first phase of our joint venture with Porter Airlines, connecting Porter's North American network with Transat's overseas network. This includes aligning schedule, pricing and coordinating commercial efforts on both sides. So far, the number of connecting passengers through the joint venture has doubled compared to the same period last year when we relied solely on the codeshare agreement. It's still early days, but we are pleased with the progress to date. During the third quarter, we also recorded a significant increase in our on-time performance compared to last year. This improvement is due in part to the in-sourcing of passenger and ground services at Montr�al-Trudeau Airport, which allowed us to better control our operations. In addition, our customer satisfaction score increased by 8 percentage points year-over-year to reach some of the highest levels in our history. This remarkable improvement reflects the tireless efforts of our team, and I'm deeply grateful for their dedication to maintaining exceptional customer service. Having said that, we are clearly not satisfied with our year-to-date financial performance, which Jean-Fran�ois will discuss in a moment. While some challenges are common to all industry players, others are specific to Transat. To address these challenges and accelerate our corporate strategy, we partnered, since June, with a leading consulting firm renowned for its industry expertise to develop and implement a comprehensive plan that will drive long-term profitable growth. Over the summer, we launched the Elevation Program, which involves a thorough review of our operations and business practices and targets, key revenue and cost reduction initiatives, that will enable us to improve financial results. To provide governance, accelerate execution and reinforce accountability, we have created the Elevation Management Office. The office brings together resources from the consulting firm with some of our senior team members to closely monitor all initiatives and ensure that benefits are maximized quick. Our target is to improve our annual adjusted EBITDA by $100 million over the next 18 months. Among the initiatives we're implementing, we are focusing on key areas. First, we are enhancing our analytical capabilities through AI. We have identified areas where AI will significantly improve revenues and employee productivity. By partnering with experts who have successfully deployed similar solutions, we aim to unlock targeted opportunities and maximize their benefits. Second, we are working at reducing external spend by tightening our supplier Management processes and renegotiating key contracts. Third, we have identified clear opportunities to increase aircraft and crew utilization by better optimizing our network and scheduling. Fourth, we will reduce operational costs through better inventory management and maintenance program review. We look forward to providing you with more details on this program in Q4 and with quarterly updates thereafter. With respect to the Pratt & Whitney engine issue, we have agreed to a financial compensation for grounded aircraft during the 2023-2024 period. Alongside this financial compensation, Pratt & Whitney will provide us with 2 additional spare engines, which we intend to monetize through a sell and leaseback transaction. Among other things, the additional spare engine will help mitigate the risk of increased aircraft grounding in the future. Looking ahead to Q4, booking velocity has remained comparable to last year, but we expect continued pressure on yields due to industry overcapacity. We continue to see a trend of consumers responding well to promotional fares. Our fleet will remain stable at 43 aircraft in 2025. Any capacity growth will come from the full year effect of route and frequency additions announced this year and from aircraft received in the third quarter. In summary, consumer demand for leisure travel remains healthy despite a sluggish economic climate. However, profitability may remain under pressure over the next few quarters due to ongoing economic uncertainties and industry-wide challenges. Transat is taking decisive action to improve its financial performance, and we're confident the initiatives included in our Elevation Program will deliver sustainable efficiency and profitability gains. In closing, I would like to thank our customers for their confidence in our ability to deliver a world-class experience for their travel needs. Focusing on customer service is one of Transat's core values, and our strong reputation has enabled us to consistently win top industry awards. Transat was once again named the World's Best Leisure Airline at the 2024 Skytrax World Airline Awards earlier this summer. This award reflects the continued hard work and dedication of our teams, and I would like to thank all of our employees for this important achievement. That concludes my remarks.
Jean-Francois Pruneau: A few highlights.  First, it was a difficult year-over-year comparison due to record results in Q3 2023, driven by the benefits of revenge travel and lower fuel costs last year. Second, we have agreed to a financial compensation of USD 25 million from Pratt & Whitney, mainly in the form of credits, for grounded aircraft during the 2023-2024 period. This compensation will mostly be accounted for in our Q4 results. Alongside the financial compensation, we will use our credits to purchase 2 additional spare engines, which we intend to monetize through a sale and leaseback transaction in the next few weeks. Minimal cash outflow will be required to purchase the said engines. In regard to our refinancing, it remains our top priority to complete our refinancing plan and strengthen our balance sheet. To that end, we are continuing our discussions with stakeholders and are reviewing a number of alternatives. Turning to our financial results. The third quarter compares negatively to last year, which was an exceptionally strong quarter for Transat. Recall that a year ago, revenge travel had a favorable impact on yields while we also benefited from significant tailwinds due to lower fuel prices. As a result, third quarter sales decreased 1.4% to $736 million. The decrease in revenues reflects a 9.7% decline in yields, partially offset by a 2.8% increase in traffic. Furthermore, revenues were negatively impacted by intensified competition, industry-wide overcapacity, inefficiencies resulting from the Pratt & Whitney engine issue impacting revenue management, and the economic uncertainty, which applied downward pressure on yields. Net loss totaled $40 million or $1.03 per share in the third quarter of 2024 compared to net income of $57 million or $1.49 per share for the same period in 2023. Meanwhile, adjusted EBITDA amounted to $41 million in Q3 2024 compared to $115 million last year. The downward pressure on adjusted EBITDA is mainly attributable to softer yields, higher fuel expenses as they rose by 15% during the quarter, driven by a 6% increase in fuel prices and higher fuel consumption tied to increased capacity. Higher maintenance expenses and costs related to our engines issues also impacted adjusted EBITDA. Salaries also increased to reflect the in-sourcing of passenger and ramp services at Montr�al-Trudeau. But as Annick mentioned, this initiative not only improved on-time performance, but also enhanced the quality of service for customers and at term will drive higher profitability. Moving to cash flow and financial position. Cash flow used in operating activities amounted to $93 million in the third quarter of 2024 compared to $7.5 million last year. The negative variation reflects a decrease in operating income this year and lower liquidity generated by net change in noncash working capital balances as well as other assets and liabilities. This was partially offset by a higher net change in the provision for return conditions. After accounting for investing activities and repayment of lease liabilities, free cash flow were negative $169 million in the third quarter of 2024 versus negative $52 million last year. In terms of our balance sheet, cash and cash equivalents stood at $362 million at the end of Q3 2024, and cash and cash equivalent and trust or otherwise reserved stood at $306 million. Transat's long-term debt and deferred government grants totaled $792 million at the end of the third quarter compared to $781 million at the end of the previous quarter. Net of cash and cash equivalents, the amount was $430 million as of July 31, 2024. Finally, as discussed by Annick, we will provide additional information concerning the Elevation Program with the release of our fourth quarter results in December. Looking forward, we are confident that the various initiatives from Elevation will gradually place Transat on the path to sustaining and improved financial performance. Now I turn the call to Annick for the conclusion.
Annick Guérard: Thank you, Jean-Fran�ois, and let me conclude our remarks with a comment on the current situation at Air Canada. We read this morning that Air Canada is asking the Federal government to force a settlement with its pilot by imposing binding arbitration. First, note that Transat was severely impacted earlier this year by multiple rounds of collective bargaining with our flight attendants without such recourse. The extension of such an extraordinary intervention to Air Canada would be an undeniable competitive advantage, to the detriment of other Canadian airlines. The pandemic and border closures affected Transat more than any other Canadian airline, given our international network. The emergency support we received from the Federal government, for which we are grateful, has since placed us at a significant disadvantage to Air Canada. The hundreds of millions of dollars of emergency repayable loans created an over-leveraged balance sheet, mortgaging our ability to attract capital and invest to compete on a level playing field with Air Canada, which received a $500 million equity investment without restrictive conditions. We have been negotiating with the Federal and Quebec governments for more than 1 year to restructure our pandemic debt without success. The time and urgency is now. It is time to restore healthy competition in Canada. We will now open the call for questions.
Operator: [Operator Instructions] [Foreign Language] And the first question is from Cameron Doerksen at National Bank Financial.
Cameron Doerksen: I just wanted to maybe have a couple of questions on the Elevation Program that you've outlined today. Obviously, $100 million EBITDA improvement is a pretty large number. I'm just sort of looking at some of the initiatives you've kind of outlined today. And frankly, it doesn't seem like some of these would be enough to kind of add up to $100 million. So I'm jus wondering if there's anything else that you're kind of contemplating as part of this program that would get you to that kind of a level of operating income improvement?
Annick Guérard: Yes.  So as I discussed in my remarks, the decision to launch the Elevation Program was driven by key factors. Our strategic priorities and operational focus have evolved in response to changing market condition and the competitive pressures impacting significantly the yields. We are facing, as well, specific challenges, including the ongoing Pratt & Whitney GTF engine issue, which has affected our operations disproportionately over the past year. And of course, it is expected that it will persist for the next 2 years. So we cannot stay there and do nothing given the recent performance. With the exception of this year, we had to launch something extremely powerful within the company to maximize Transat's value in the short term. So this summer, the whole team dedicated time to developing a robust plan, ensuring that the initiatives are very well designed, targeted and, at the same time, align with the long-term strategy. We have already begun implementing some of the initiatives in the past few weeks, and we're pretty much comfortable that we will attain our target of $100 million. There is full commitment and dedication. And at the same time, we're giving ourselves all domains and the resources that are required to deliver. So in terms of example of initiatives, as we said, we have identified areas. If we look at revenue, for instance, we have identified revenues within the organization, where AI can enhance our revenue performance. We have, for instance, three main initiatives to optimize pricing: our fare class structure, our forecast accuracy, our overbooking structures. And we have been testing doing some proof of concept over the last week, and we're extremely comfortable with the benefits that we're seeing so far. So the benefits are very high. We are allocating, again, the right resources to ensure we deliver the benefits very quickly. In terms of external spend, while it's pretty straightforward, we are rationalizing demand volumes, so we are negotiating better terms with suppliers. We have compared ourselves with benchmarks. We note that there's still a lot of room for improvement. And we need to review enhanced vendor performance and [ verification ] to drive further reductions in all external spend. So we have gone through in detail of all our spending and identified clear opportunities that will allow us to reach our target. In terms of productivity gains, it is clear for us that there are opportunities that are clear in the groups -- in some of the groups by using better tools, and we have started implementing those tools. So we are not talking about long-term benefits, but a short-term benefit in the contact center, technical operation and crew management as well. We will not do this all by ourselves. We will have support from the external firm we've been working with, with experts that will be fully integrated within our team to make sure that this is the only thing we will be focusing on the upcoming months, upcoming year. As for network and scheduling optimization, we are addressing inefficiencies. We've broken down over the last month our flight schedules into details. And by tightening up the flight schedule, we're able to reduce the need for augmented crews, layover at destination and so on. So these are not -- when we target $100 million, this is not up in the air number. We're extremely confident with this number, we're even looking at upside that will come up with -- in the upcoming months. So the whole team is very well engaged, and we're very comfortable with what we're announcing today.
Cameron Doerksen: Okay.  No, that's great detail on that. Maybe just a follow up, if I sort of -- obviously, this year is a difficult year from a margin perspective. But if I look out to a kind of maybe a more normalized market where you don't have these engine issues and demand is -- and pricing is stable and you've implemented these initiatives. What do you think the ultimate margin -- EBITDA margin Transat could generate is in the future?
Jean-Francois Pruneau: Our target, obviously, is beyond double digits, so it's 10%-plus.
Operator: Next question is from Konark Gupta of Scotiabank.
Konark Gupta: I wanted to ask you, first, maybe on the yield environment. Clearly, it got a little bit worse in Q3 than what you were seeing before. It seems like for the next coming quarter, the yield environment kind of remains here. Any changes you have noticed in yield environment recently in the last couple of weeks or so, maybe for the coming quarter with respect to your overcapacity situations. Like it seems like obviously some of the U.S. airlines are saying this, that the capacity is getting better. I'm not sure if that's the same thing in Canada. And then there's also maybe some sort of positive impact of Air Canada flight cancellations by people and maybe they are looking to book on Transat or some other airlines. So any color there would be appreciated.
Annick Guérard: When we look at Q4, the yields and load factor, I would say, up to mid-August, we're performing similar to Q3 when compared to 2023. But there has been significant improvement over the last weeks as we observed a stronger demand for travel, especially in September and October, especially on Europe. So our yields have gone up significantly, load factor has gone up significantly. So we have a lot of momentum at this point. So you were referring to aircraft strike threat potentially this is having an effect. We see as well post-Olympic effect on France, where a lot of people avoid traveling to France or Paris during mid-July up to end of August. So we've seen an improvement on that side. Does that respond to answer your question, yes?
Konark Gupta: Yes.  Yes, that's helpful. That's what I have anticipated perhaps here.  Okay.  And then with respect to your own capacity, so you guys again kind of trimmed some for the full year to 9.9% now. Any thoughts why the capacity reduction here? Like it seems like the Pratt & Whitney grounding is better than what you thought before. So what's driving these capacity cuts?
Annick Guérard: Well, yes, we started at a much higher capacity at the beginning of the year and throughout the quarter. As we announced, we reduced the capacity. So the engine issues, Pratt & Whitney, led us to scale back because our forecast at the beginning of the year was better in terms of engine issues. And then we were faced with -- we're at 6 right now -- 6 aircraft that are grounded. And the last one was grounded 3 months before what we had expected. So we had to make adjustment again on that. So we had to made -- as we announced in Q3, significant frequency reduction on Europe across the program. We had to withdraw from Los Angeles and San Francisco as well. And the other thing is that when we talk about aircraft delivery, the aircraft delivery that we had during the month of May and June were delayed. So we had to reduce capacities in June, a little bit in July as well. So all of that being taken into consideration had pushed us to adjust capacity.
Konark Gupta: Okay.  So obviously, some of the grounding and some of the aircraft delivery challenges are kind of driving that.  That's great.  And then last one for me before I turn it over.  Balance sheet.  So if you can provide any thoughts. I know it's too early, maybe, but what are the options that you guys are exploring here? I guess, is balance sheet refinancing the only option here? Are there other sort of new innovative avenues? Any kind of potential discussion about shedding some part of the business or the full business? Any thoughts what can be fixed and how it can be fixed here?
Jean-Francois Pruneau: That's a good question. Obviously, as Annick mentioned earlier, we've been in discussion with the federal government and the provincial government for the last year, trying to resolve that over-leveraged balance sheet. We need to strengthen the balance sheet. We know about that. So discussion has been ongoing. I would say that the last few weeks, we've been discussing with them on a more frequent basis. So I think that we have a good alternative for them. That being said, we're also looking at other ways to generate cash flow with the Pratt & Whitney resolution. We will acquire 2 engines, new engines at essentially no cash costs, and we will monetize that through a sale and leaseback. And on top of that, we also have 2 additional engines, used engines, that are on the balance sheet that we will look to monetize as well through a sale and leaseback transaction. So there's a few options over there on a short-term basis. But obviously, our discussions are -- with the governments are key.
Operator: Next question will be from Tim James at TD Cowen.
Tim James: I'm just wondering if there are any kind of particular routes or regions that you can point to where industry capacity and pricing pressure is particularly acute, where it's most impactful?
Annick Guérard: Well, it's been really across the board. I would say the -- there was overcapacity deployed in the market. We talked about that since the beginning of the year. I think this is a statement that is shared across the industry. We're looking at big hubs: Toronto, Montreal, Paris, London. So it's been -- we can see across the board pressure on yields. There's no specific areas where we see more impacts. It's been across the network.
Tim James: Okay.  My second question, just with regards to the Porter partnership and how that is working. Is there any challenges or negative impacts from Porter's? Anything in their own capacity challenges that's having a negative impact on Transat? And maybe just a general update on your work with Porter.
Annick Guérard: No, no negative impact. We launched the first phase of the JV with Porter in June, and we're very pleased with the initial results so far in the second half of fiscal year. The number of connecting passengers through the JV has doubled compared to the same period last year when we were solely relying at that time on the codeshare agreement. So we have like -- we have up to more than 230,000 passenger segments today compared to half of that in the same time last year. Additionally, we launched -- since the launch, we have sold over 60,000 passenger segments on Porter's stand-alone site. So we expect to start seeing significant benefits from the JV next winter with full potential realized within -- starting in 2026, I would say. Now we are really working closely in aligning our pricing, the schedule. So we're very much at the beginning. But what we've seen so far is very promising.
Operator: Next question will be from Kevin Chiang at CIBC.
Kevin Chiang: Maybe just -- I know we'll get more information on your fourth quarter call on this Evolution Program. Just wondering, is there any capital investments required as you embark on this restructuring? Or is it primarily, kind of, I guess, OpEx spend and stuff like that?
Jean-Francois Pruneau: Yes, there are a few investments to be -- that we will have to make over the next few months, but nothing material compared to the benefits of the program.
Kevin Chiang: Okay.  And I know this is going to be an unfair question here, especially as many of you weren't in your seats a decade ago. But about a decade ago, Transat did launch a strategic plan to also achieve $100 million of incremental earnings. And if I were to kind of look over that time frame, it's not like you had a 2014 earnings, and then fast forward 3 years, you had $100 million more. Earnings, effectively, were, in some points, lower. And I always got the feeling that while Transat was executing against the strategic plan at that point in time, and those benefits were being competed away as you got savings, your competitors got more aggressive potentially. Just I guess, wondering, as you think of this $100 million, just how confident you are that it's not coming through the system but gets competed away as you push through your own initiatives here?
Annick Guérard: Yes.  Well, we're always going to have competition, and we will not be able to isolate the market environment, of course. And this is why, in the $100 million target, we have put ourselves some cushion, I would say. So -- and the other thing maybe compared to 10 years ago is that we are looking at delivering results in a much shorter time frame with the structure that we've put in place. So we are working differently with the structure we're putting in place and having the Elevation Program Office. And making sure that we are very well supported with external experts, we will ensure that we deliver those results as soon as possible. So that's different from, I would say, 10 years ago.
Kevin Chiang: Okay.  No, that's fair.  And I know we'll get more details in about a quarter's time. Maybe just last one for me. And maybe just touching a little bit on the comments you made in your prepared remarks around Air Canada's ongoing pilot situation here in the press release or news release that came out this morning. I mean your pilot agreement comes due in April of next year. And I think the rule of thumb we've typically used, and correct me if I'm wrong, is kind of 35%, maybe 40% of airlines costs are related to the pilot. And I guess, just given the public comments you just made, it's -- I guess, how would you think about absorbing the type of wage increases, especially in year 1 that -- that have been kind of [ bansheed ] around both on the Air Canada negotiations as well as what you've seen south of the border. It just seems like it could be a pretty material kind of immediate cost headwind to you? Like if I said 35% of your $0.5 billion of salary costs were pilots, and all of a sudden, in your year 1 of the new negotiation, that could be up 20%. Like that's not an insignificant cost impact given your current earnings run rate. Just, I guess, how do I square that potential outcome for you versus what, I guess, your comments this morning around Air Canada and their own negotiations? Like -- do you think it might be a risk that maybe a year from now that you're kind of facing your negotiation with ALPA and, obviously, you could be seeing maybe a more material increase in wage rates than you're currently anticipating?
Annick Guérard: Yes.  So maybe just to correct you on your number, the pilot salaries represent 5% of our overall cost.
Kevin Chiang: 5% of the overall cost?
Annick Guérard: Yes, yes.  We've been preparing for debt negotiation. What's really important is to have open communication channel with the pilots. We've always had a strong relationship with the union, keeping a formal communication open, I would say. Of course, we expect impacts as it is across the industry in pressure and increasing overall wages. At the same time, we always need to take into account the full collective agreement. And the collective agreement is composed of [indiscernible], but as well other clauses on which we can make adjustments in terms of productivity gains and looking at different alternatives, I would say, that this will come out as a win-win deal. We are -- of course, the pilots are preparing on their side. We are preparing on our side. And we're confident that we're going to come up with a reasonable deal next year, understanding our history of negotiation and understanding as well the [indiscernible].
Kevin Chiang: That's great color. Can I just ask a point of clarification? When you say 5% of operating costs, does that include depreciation? Or would that be your kind of OpEx less depreciation? Or maybe it doesn't make too much of a difference?
Jean-Francois Pruneau: Yes, that would be OpEx, but also including -- destination -- services or destination.
Kevin Chiang: Right.  Okay.  Okay.  That's helpful.  And maybe -- sorry, just last one for me. Just as you think of this restructuring you're going to go through, are there any -- is there anything we need to contemplate in terms of restrictions in your labor agreements that you would need to -- I guess, a bridge that you need to cross that you kind of pursue the $100 million? Or are many of these initiatives, do you think the unions are generally agnostic to the -- to some of the levers you plan to pull here? Or they view it as a positive?
Annick Guérard: No, no.  We -- it's inside their current collective agreement.
Operator: [Operator Instructions] Your next question will be from Benoit Poirier at Desjardins.
Benoit Poirier: Yes.  Thanks also for the great color around the Porter partnership. So any other potential codeshare agreements that you're looking at that could be incremental to the main one with Porter? And could you maybe give an update on the Fidelity program that you're looking to bring eventually?
Annick Guérard: In terms of alliances, we are in discussion with other big players in the market. But discussions are still happening, so we are not able to comment on that at this point. But we will, eventually, in 2025, be able to provide more information. As for the Loyalty Program, significant progress has been made since we started building the process in January, we have had achieved key milestones. We've completed the business model, detailed the design of the program, and we are in the process of identifying or deciding potential financial partners. We still plan to launch next -- mid-2025. Of course, this will be -- it's a key initiative. This will be a driver of value creation for Transat and our clients. And it gives us the potential to have a strong impact on the future of Transat as we will be able to compete more strongly against other carriers who already have a program in place. So we're very excited about this program, about this project. We've been working on that for more than a year with a lot of external experts, and we're pretty confident that we will be able to deliver that new product in 2025.
Benoit Poirier: Okay.  That's great color. And if we look at the Canadian dollar, it has strengthened somewhat over the recent months, fuel price came down. So how much of a tailwind or headwind, both factors, can it be for the fourth quarter so far?
Jean-Francois Pruneau: Yes, absolutely.  You're perfectly right, Benoit. Canadian dollar has appreciated significantly more than we expected, to be honest. Same for fuel prices. Inventories are up, prices are down, and we don't see that going back up pretty soon. So it's definitely a tailwind for us.
Benoit Poirier: Okay.  Okay.  That's great.  And for fiscal year '25, I know it's early, but what's your initial take about the capacity that will be added for the industry next year, Annick?
Annick Guérard: Yes.  So when we look at demand, we expect consumer demand to remain somewhat uncertain in the context of high interest rates. So we are currently seeing ongoing pricing pressure extending into the winter season. There will be, on our side, in terms of capacity, I think the market is going to be much more disciplined than last year. On our side, there will be no additional aircraft added in 2025. We expect a small growth in capacity in winter, 3.7%, and flat for summer, for next summer, 2025. And the capacity increase inventory is mainly due to the addition of the 3 A330s that we've acquired to replace grounded A321LRs. There won't be any ACMI contracts either. So 2025 for us will be much more stable than 2024 in terms of fleet movements and operation, and this will definitely have a positive effect on cost and customer satisfaction as well. We are more and more moving away from all the disruption that we had to go through early in 2024, while we suffer the impact of the Pratt engines as we went along. So we are much better prepared for 2025. And when we look at what the market is going in terms of capacity for 2025, I think we've learned from last year where we all injected too much capacity, having been somewhat distracted or blinded by a year, 2023, out of the ordinary. So we will be highly prudent and disciplined in capacity increases, not only in '25, but in '26 as well.
Benoit Poirier: Okay.  That's great color. And maybe last one for me. You mentioned great color about the Elevation Program, the $100 million improvement in terms of EBITDA, but also the time frame, over 18 months that could propel the margin in the double-digit territory as you answered the first question. Now just in terms of timing, how much of the market environment needs to be supportive to get to the digit? Is it something that, in 18 months, you could achieve? Or you need a market environment that will be much more supportive to get there? I'm just curious to try to get more color about the timing to get back to double-digit territory.
Jean-Francois Pruneau: Obviously, when you look at where we are right now, I don't think that, over 18 months and with $100 million more of EBITDA, we're going to get at that point to double-digit margins. But I think that, over time, that's the goal, and that's what we're going to accomplish.  That's for sure.
Operator: Thank you. At this time, there are no further questions. Please proceed.
Andrean Gagne: Thank you, everyone. Before we conclude, as a reminder, our fourth quarter results will be released on Thursday, December 12. Thank you every day -- thank you, everyone, and have a good day.
Operator: Thank you. Ladies and gentlemen, that concludes the conference call for today. We thank you for participating and ask that you please disconnect your lines.